Operator: Good morning. My name is Jordan, and I'll be your conference operator today. At this time, I'd like to welcome everyone to the Avidbank Holdings, Inc. Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] Thank you. I'd like to introduce the presenters, Chairman and CEO, Mark Mordell; Chief Financial Officer, Pat Oakes; and Chief Operating Officer, Gina Thoma-Peterson. You may begin your conference.
Gina Thoma-Peterson: Good morning. Thank you for joining us today for Avidbank Fourth Quarter 2025 Earnings Call. Before we begin, let me remind you that today's call is being recorded and is available in the Investor Relations section of our website at avidbank.com, along with our earnings release and presentation material. Today's call contains forward-looking statements, which are subject to certain risks, uncertainties and other factors that could cause actual results to differ materially from those discussed. These statements are intended to be covered by the safe harbor provisions of the federal securities law. For a list of factors that may cause actual results to differ materially from expectations, please refer to our earnings release under the heading Forward-Looking Statements as well as the disclosures contained within our SEC filings. We will also reference non-GAAP financial measures alongside our discussion of GAAP results. We encourage you to review the GAAP to non-GAAP reconciliations provided in our earnings release. With that, I'd like to turn the call over to our Chairman and CEO, Mark Mordell.
Mark Mordell: Now thank you, Gina. Thank you, Jordan, and thank you all for joining us for our second actual -- as second earnings call for being a public company. And I apologize for my voice. I'm just getting over a little bit of a flu from the beginning of this week. So we had a great quarter, I think, a real strong quarter of growth, which is really what we've been striving for really since the crisis in '23, and we're leaning into being that growth bank again, and we've been demonstrating that for the last couple of years at this point. Loans were up $190 million for the quarter. And $283 million for the year, which is a 15% annualized growth rate. Deposits were up $92 million for the quarter and $241 million for the year, again, a 13% growth rate for the year. When you look at the loans, they were led significantly by our sponsor finance and corporate banking team for the quarter, but really every vertical with the exception of construction contributed to that growth in terms of loan growth for the quarter. Deposits were similar. It was led by corporate banking and venture lending, but all divisions contributed to those growth in core deposits, which is really setting us up for a strong 2026 for sure, given those balances are -- met our goals and are setting us up for a better earning engine for '26. Talking about the elephant in the room, NPAs did go up. That's clear. But that centered around as the earnings release mentioned about around 2 construction loans and 1 sponsored finance loan. The good news is that we said that we're well collateralized in those 2 construction loans and one is already taken care of itself because we've taken care of it, it has already been paid off. And that was about a $3.7 million construction loan because we were well collateralized, it didn't have to go to NPA and they took care of that. The other loan is a $16 million construction loan, multiunit mixed-use in Palo Alto. And that's been a hangover from COVID, a lot of delays. We feel we're well collateralized there as well. We have houses and guarantees, and we just have to work through this. It's going to be on our books for anywhere from 4 to 6 months probably, unless we can find a softer landing. So we feel we're well collateralized. So credit migration has not changed all that much when you consider that criticized and classifieds are pretty much holding steady at $37 million and $38 million, respectively. So we don't see any trends in credit. These are -- we don't take credit for granted here, as you all know, very well. We're always anxious about credit, but I think the -- where we sit with these loans, we feel that we'll have to work through them, but we'll get out of them and it shouldn't result in any losses as we can see at this point. I'll turn it over to Pat to talk about some of the income items and some of the metrics.
Patrick Oakes: Thanks, Mark. Good morning, everyone. So we reported net income of $6.9 million or $0.65 per diluted share for the fourth quarter and adjusted net income for the full year of $24.9 million or $2.80. Pre-provision net revenue for the fourth quarter was $12.9 million compared to $10.7 million for the third quarter. The NIM expanded to 4.13% in the fourth quarter compared to 3.90% in the third quarter, and net interest income increased to $25 million from $22.7 million as we benefited from the strong growth in loans and core deposits, the full impact from the IPO and repositioning of the investment portfolio, a 32 basis point decrease in the cost of interest-bearing deposits and the $44 million increase in average noninterest-bearing deposits. These items helped offset the impact of the $726,000 interest reversal on the 3 new nonperforming loans. We purchased an additional $62 million in investment securities during the fourth quarter at an average yield of 4.48%, increasing the total available for sale balance to $218 million at the end of the year with a yield of 4.61% compared to 2.55% in the third quarter. The provision for credit losses was $2.8 million in the fourth quarter compared to $1.4 million in the third quarter. The increase in the provision expense was primarily driven by the $190 million in loan growth, along with a $1.2 million specific reserve on the downgraded commercial loan. Charge-offs totaled 30 basis points in the fourth quarter and 7 basis points for all of 2025. Noninterest expense rose to $13.9 million, an increase of $372,000 from the third quarter. The increase was primarily due to higher credit-related legal fees, an increase in our FDI assessment due to the impact of the net income loss in the third quarter and an increase in consulting and professional fees. These increases were partially offset by lower salary and benefits expense, driven by an increase in capitalized loan origination costs from the strong loan growth in the quarter, and that was offset by a higher incentive accrual. Our adjusted efficiency ratio improved to 51.72% from 55.72% in the third quarter. The tax rate in the fourth quarter increased to 31.1% compared to 28.9% in the third quarter. The increase was primarily due to a decrease in the California tax rate as we finalize the impact from the change in the California tax law earlier this year. Since we reported a loss for 2025, the decrease in the California tax rate caused an increase in our effective rate for the fourth quarter. In 2026, I expect the tax rate to move back to around 28.5%. Mark, I turn it back over to you.
Mark Mordell: Well, I think we're -- again, as I mentioned earlier, we're kind of pleased with the progress that we've been making, getting the noise of our balance sheet from the securities restructuring and really looking to having more of an even down earnings projection for '26. So with that, I'm sure there are questions out there. We're happy to open it up for questions at this time.
Operator: [Operator Instructions] Your first question comes from the line of Matthew Clark from Piper Sandler.
Matthew Clark: Yes, I just wanted to start on the margin, if you had the spot rate on deposits at the end of the year.
Patrick Oakes: I'm sorry, the -- spot rate, yes. So for interest-bearing deposits at year-end was 2.91%.
Matthew Clark: Okay, good. Yes, so your beta -- your deposit beta this quarter was 80%, pretty high and the spot rate is encouraging. So how do you think about your deposit beta from here? I assume you can't hold 80%, but how are you thinking of managing that?
Patrick Oakes: Yes. So a couple of pieces there, right? We do have some of our deposits, about 20% of our interest-bearing deposits that are indexed that will move down directly. And then with every Fed rate cut, so far, we're pretty successful lowering deposit costs that's kind of higher than we model, probably 60% beta on the rest of them for the December rate cut. Without a rate cut, it's hard to reduce deposit costs. In fact, there could be a risk it could go up a little bit because of where we put on new deposits. But with every Fed rate cut, hopefully, we can -- I don't know if we can get 60% on the nonindex. But hopefully, we can get -- it appear to get a pretty good deposit beta down.
Matthew Clark: Okay. Good. Good. And then just update us on the sub debt that's outstanding and what your plans might be there?
Mark Mordell: That's a 2026 thing for sure, Matthew. We have been working on in our investment-grade rating, and we'll do something certainly before another 20% burns off given where rates have been and what we expect rates to happen. We'll take care of that in '26 here.
Matthew Clark: Okay. Good. And then just on the deposit growth, noninterest-bearing, really, really strong. It looks like venture contributed some of it. But where else is that coming from? And was there anything lumpy in there or transitory? Or is it all sticky?
Patrick Oakes: Some of it can be a little bit lumpy for us and especially with the growth that we had. I mean it was across the board, right? So for the fourth quarter, yes, venture had a good quarter. They had a great year in DDA. So did our finance group, so did corporate banking. So it was across the board. But this number is going to bounce around for us as a commercial bank, right? We're not going to get the same level of growth in '26 that we saw in '25. The goal will be, hopefully, we can grow it at a similar pace to overall growth in deposits. That will be our goal at this point. But it does bounce around quite a bit.
Operator: Next question comes from the line of Andrew Terrell of Stephens.
Andrew Terrell: If I could just stick on the margin quickly. Just with the nonaccrual migration this quarter, was there any kind of interest reversal headwind that impacted the loan yields in the fourth quarter?
Patrick Oakes: Yes.So yes, the 3 loans we put on nonaccrual, the $726,000 interest reversal impacted the margin about 12 basis points. So it would -- for the quarter, probably would have been closer to 4.25% without that.
Andrew Terrell: Okay. So I guess once you normalize that, if it's kind of 4.25% level post normalizing the interest reversal and then you've got what sounds like really strong repricing at the end of the period that I think should carry forward on the deposit side. I mean, could you help us with maybe near-term margin expectation? I mean it feels like it should go like 4.30-ish plus. Is that an unfair assumption? Or any color on where you think the margin can go kind of near term, Pat?
Patrick Oakes: So yes, I mean it's -- you can put the math together and see that the headwinds that we just got to be careful of for us is where we're putting on new deposits as we cut existing deposit rates. And look, we're trying to fund loan growth here. So it's possible that new deposits come on at a higher rate than our existing deposit portfolio that could put a little bit pressure on the deposit costs, not significant, but that's a headwind. And then look, we're benefiting from a lot of flowing floors at this point, right? We have $240 million at floors. About 60% of that are maturing in 2026. So we know when those loans renew that we're going to be resetting those rates. So that's going to put a little bit of pressure on there. So there is a few things that are headwinds that offset it from going up too much, but we can keep at that 4.25%, maybe a little bit higher than that, that would be great, right? But I don't expect it to go up significantly from here.
Andrew Terrell: Got it. Okay. No, that makes sense. I appreciate it. And just overall, I mean, Mark, you kind of -- you touched on it a bit in your comments. Just you guys have a banner year in growth for the balance sheet, both loans and deposits. Just maybe send yourselves a high bar for 2026, but any kind of initial thoughts on pipelines for both loans and deposits and kind of your growth expectations for the year?
Mark Mordell: I'm not a big believer in cycles, but if you do look historically, Q4 has always been one of our stronger quarters and first quarter has always been a little bit softer. I think based on the pipeline we saw in the second half of the year and what closed in Q4 and what's closing in Q1, that we do have good momentum and good pipelines throughout the bank, virtually in all divisions going forward. So we're still targeting that double-digit loan and deposit growth. I mean, that's what we are. We need to be that growth bank. Bringing everybody back around again. I mean we have high velocity and churn in our portfolio. I mean we have to do almost $2 of new loans to net $1 new loans for the year given the portfolio churn. This year was exceptional in construction. We had a significant amount of payoffs in our construction division, and that really held our loan growth down. So I think we always are targeting this 10% to 15% type of asset growth every year. So that's what we're targeting this year and feel that it's very accomplishable.
Operator: [Operator Instructions] Your next question comes from Ross Haberman from Rlh Investments.
Ross Haberman: Pat, could you just talk about your expected loan growth in '26? And how is your backlog today?
Mark Mordell: Yes, we're expecting -- again, we're expecting loan growth for '26 to be something between 10% and 15%. And we feel that the team that we have as well as what we're seeing in the pipeline and even the things that are cyclical that's an achievable number for us.
Ross Haberman: And just one follow-up question about the loan quality. Anything else on the delinquent or criticized that's keeping you up at night besides the ones you've described earlier?
Mark Mordell: Ross, they all keep me up at night because they can go one way or the other. And just as we -- that criticized and classified is pretty dynamic, both positive and negative, and that's why we keep a pretty strong eye on it. But those ones are obviously -- we feel good that we're going to get out of the ones that we mentioned because we are well collateralized, but it is going to be a process, and that's a distraction for all of us in order to kind of work through that. So there's nothing else in credit of any trend that we're concerned about. It's kind of business as usual at this point with migration happening both positive and negatively. But this was a big one. This is a $16 million one that really drove that number significantly up from where it was at the end of Q3.
Operator: Next question comes from the line of Timothy Coffey from Janney.
Timothy Coffey: Is it a reasonable expectation to think that the loan-to-deposit ratio is either flat to slightly down this next year?
Mark Mordell: Yes. I think we're going to -- I think we'd like to drive it down, but I think we'd like to drive it down. We're 100% core funded at this point, which is great. But I don't expect it to come down substantially.
Timothy Coffey: Okay. Yes, because of the cost that Pat was talking about earlier. And then looking at kind of the noninterest expense run rate these last 2 quarters, obviously, elevated for specific reasons. Is that the kind of go-forward run rate where we're talking $13.5 million plus?
Patrick Oakes: Yes. In fact, look, first quarter is always a little bit higher in the first place. So it will go up from there in the first quarter from where we were in the Q4, right, with higher taxes, insurance costs going up. But we'll get a little bit of reset on the bonus accruals since that was high in the fourth quarter. And hopefully, we'll -- legal credit-related costs will come down a little bit, but it will creep up here from the fourth quarter and the first quarter and then hopefully back down a little bit. But it's -- that run rate is definitely going to be higher than the $13.5 million. It will be $14 million plus at this point going forward.
Timothy Coffey: Okay. That's helpful. And then, Mark, just kind of talk about the opportunities in the market. Obviously, you've been benefiting from the dislocation that happened almost 3 years ago now, plus we've got Comerica exiting the market. Do you feel more optimistic about the opportunity to take business from other banks that you have in probably the recent past?
Mark Mordell: I don't know if it's any more opportunistic, Tim, than it has been over time. I do think we've benefited from a lot of disruption because of our consistency and the way we are this high-touch bank, big bank council with small banks service type of thing. There's going to be opportunity for us. And I don't -- I think if our bankers are out there doing what they should be doing, they're going to uncover more and more opportunity. But I don't think it's a significant change with the disruption that happened in the second half of last year to what our plan is for this year. We always are opportunistic on people as well as clients.
Operator: There are no further questions. I'd like to turn the call back over to the presenters for their closing remarks.
Mark Mordell: Well, again, thank you all for attending our earnings call, and we're pretty optimistic going into '26 here. We're pleased with how we ended the year in '25 and are going to do our best to take advantage of our IPO, take advantage of our restructuring and manage our balance sheet the best way we possibly can and continue to grow at a double-digit rate. So hopefully, in Q2, that we have this -- end of Q1 earnings, we have an earnings call that kind of matches up with us. So I appreciate everybody's interest and support over time.
Operator: This concludes today's conference call. You may disconnect.